Operator: Good afternoon, ladies and gentlemen. Thank you for joining Atlassian's Earnings Conference call for the Third Quarter of Fiscal 2017. As a reminder, this conference call is being recorded and will be available for replay from the Investor Relations sections of Atlassian's Web site following this call. I would now hand the call over to Mr. Ian Lee, Atlassian's Head of Investor Relations. Please go ahead.
Ian Lee: Good afternoon, and welcome to Atlassian's third quarter fiscal 2017 earnings conference call. On the call today we have Atlassian's Co-founders and CEOs, Scott Farquhar and Mike Cannon-Brookes in Sydney; and our Chief Financial Officer, Murray Demo; and our President, Jay Simons in San Francisco. Earlier today we issued a press release and a shareholder letter with our financial results and a commentary for the third quarter of fiscal year 2017. These items are also posted on the investor relations section of Atlassian's Web site at investors.atlassian.com. On our IR Web site, there is also an accompanying presentation and data sheet available. We will make some brief opening remarks and then spend the rest the call on Q&A. Statements made on this call include forward-looking statements. Forward-looking statements include known and unknown risks, uncertainties, and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance, or achievements expressed or implied by the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Forward-looking statements represent our management's beliefs and assumptions only as of the date such statements are made. In addition, during today's call, we will discuss non-IFRS financial measures. These non-IFRS financial measures are in addition to, and not as a substitute for all superior measures of financial performance prepared in accordance with IFRS. There are a number of limitations related to the use of these non-IFRS financial measures, versus the nearest IFRS equivalents, and may be different from non-IFRS measures used by other companies. A reconciliation between IFRS and non-IFRS financial measures is available on our earnings release, our shareholder letter, and our updated investor data sheet on our IR Web site. Further information on these and other factors that could affect the company's financial results, is included in filings we make with the Securities and Exchange Commission from time to time, including the section entitled Risk Factors in our most recent Forms 20F and 6K. A quick housekeeping note before we proceed with the rest of the call, many of you should have received that email from U.S. User conference Atlassian Summit which is being held in San Jose from September 12 through 14. The primary days of this event is September 13 and 14 and we will host most of the open sessions and key notes. This year we will also be holding our first investor and financial analyst session to provide more details in the near future but please mark those dates on your calendars. I will now turn the call over to Scott for his brief opening remarks before we move to Q&A.
Scott Farquhar: Good afternoon. Thanks everyone for joining today. We had another great quarter. We achieved revenue growth of 36% year-on-year, and generated over $68 million of free cash flows which is more than the annual free cash flow we recorded through fiscal 2014 or fiscal 2015. Like last quarter, our performance is broad based; we achieved solid growth across our product families across cloud server and data center products. We closed the acquisition of Trello in February and we're tremendously excited to have Trello on board and part of the Atlassian family. Including Trello, we finished the quarter with over 85,000 customers. And our goal is on unleashed potential teams in the Fortune 500,000. We do have a long way to go to reach that target we're making great progress and have the target of 100,000 customers firmly in our size. The shareholder [indiscernible] we just passed the 2000 employee mark. Mark I never imagined we'd get to this size, when we started the company in 2002 and it's been a privilege to work with so many county colleagues over the years and the strong results we just announced were only possible because of the team around us. [Indiscernible] every Atlassian everywhere, we've -- you have been catering helping us to get to where we are today, and you will be key to our future growth. And with that, I will turn the call over to our operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gregg Moskowitz of Cowen and Company. Please go ahead.
Gregg Moskowitz: Okay, thank you very much and good everyone, congratulations on a good quarter. Scott, just wanted to follow-up on one of your on your brief comments regarding the contribution in the business from all the three areas, and in Q2, you saw really strong data center performance, how would you characterize the data center business this quarter by comparison? Is it a continuation of that trend, or any additional commentary would be helpful?
Jay Simons: Hey Gregg, this is Jay. Well, we don't break it out. It was another great quarter for data center, I think as we said last quarter and the quarter before, there have been high demand for this product when we introduced it, and we have expanded the data center offering to include nearly all of our key major products. And I think we've been happy with the growth. I think there's a lot of room for us to continue to - to reach out to customers that are looking to deploy our products with the capability of the high availability and zero downtime, upgrading things that are important for really big companies, and I think we're really proud of what we've accomplished so far.
Gregg Moskowitz: Okay, terrific. And then in the shareholder letter, you alluded to upcoming price increases, and I know that it's certainly premature to discuss that in depth, but just from a high level, can you say if this will pertain to some on-prem products, cloud products or both? And then also if you were able to just perhaps provide any color on the underlying rationale behind the price increases that would be useful.
Murray Demo: Gregg, yes, in terms of the -- in terms of the pricing that we've got in the shareholder letter, we have not communicated to customers. And so, that's why we're trying to provide information now to the financial community but we don't want to get in front of our customer communications. So we're leaving it the way it is right now, and not signaling to any specific area of the business. What we want to do is two things; one is we wanted to make sure that all investors are aware that they may miss it in terms of when the communication comes out, we want to make sure everybody's aware of it when that happens at some point in the future. And then two is obviously everyone's going to try to figure out what does this mean in terms of the financials for fiscal 2018, and we provided that it will have an impact of low single-digit points of revenue growth, which I just want to underscore that low; that will help everyone try to sort through what to make sense of that in terms of the revenue for fiscal 2018. We'll have more to discuss on this topic on our next -- on our next earnings call when we are in a position to talk more about it.
Gregg Moskowitz: Okay, thanks Murray. And just one last one if I could on Trello, you mentioned in the press release that Trello added almost 13,000 customers -- paid customers on a net basis, but about how many total Trello customers are there in your paid base? I was just trying to get some sense of customer overlap if that were possible.
Murray Demo: Go ahead, Mike.
Mike Cannon-Brookes: We haven't disclosed that, we only disclosed the -- obviously the net new contribution that Trello brings. There is overlap as well underneath that, but for people obviously looking at the customer number over time, we need to explain what had a big jump up. The only sort of extra steps we put in there since the close of the acquisition this quarter where obviously it's plus 22 million users and was 19 and changed when we finance [ph] the acquisition in January.
Gregg Moskowitz: Great, exactly. All right, terrific.
Murray Demo: I will just add one thing to that, Gregg, which is the number of customers that overlap are far smaller than the ones that are net new to us and even for those that maybe overlap, if it's like in one department of a large company in Europe and one department in North America there's still a huge opportunity and that was to "Overlap Customers" in terms of just you know more seats and more products.
Gregg Moskowitz: Okay, that is terrific. Thanks very much guys.
Operator: Our next question comes from Ittai Kidron of Oppenheimer. Please go ahead.
Ittai Kidron: Thanks and congrats guys on a good quarter, Murray just wanted to touch kind of going back to Trello about the impact in the quarter, I think you are looking for $1 million in the quarter, I don't think you got it for the year, are you still on track for that or you're running a little bit ahead of that?
Murray Demo: We did note that it was one in Q3 and we achieved that one in Q3, we are targeting three in Q4. We are going through that whole thing with the deferred revenue, we noted that there was about $2 million of deferred revenue that we booked after the haircuts, so we did take a haircut there we were able to recognize some of that deferred revenue did go to revenue in Q3 and will in Q4 but so far we're on track, yes.
Ittai Kidron: Very good.
Murray Demo: But we're pleased with the results.
Ittai Kidron: That's great and then going back to the price increases that you alluded to, that we'll get some more detail on. I'm not going to ask over the details about price increases maybe you can give us a little bit of the color on why do you feel you need to do them here, are you not seeing any competitive pressures, just trying to kind of get into the drivers behind it not necessarily the numbers but the logic.
Scott Farquhar: You know, we prefer to say more at a later date on that we don't take these things lightly we put a lot of work into the analysis that went into this and we're very thoughtful with that but at this point we prefer not to talk about it and rather just kind of focus on our commercial operations and communication to customers and then when we're in a position to say more to the financial community wait we will. But we did we did provide today and some of the financial implications of our decision.
Ittai Kidron: Very good. All right good luck guys.
Scott Farquhar: Thank you.
Operator: Our next question comes from Bhavan Suri of William Blair. Please go ahead.
Bhavan Suri: Hey guys can you hear me okay?
Scott Farquhar: Yes, we can Bhavan.
Bhavan Suri: Great thanks Congrats obviously and really nice job especially in that free cash flow number. I guess let me dive then a little bit here, as you look at the collaboration space, you have a trial all but obviously HipChat pretty well integrated with JIRA seeing slack obviously with JIRA being a big integration, can you just talk a little bit how Trello fix into that and as hit check my part of that or do you look at sort of a different collaboration product that sits with the Trello use of a sort of a you know posted more integrated sort of collaboration, communication, chat interface how should we think about how those three products will sort of interact going forward.
Michael Cannon-Brookes: Yes, thanks Bhavan its Michae, look I think all of our products have various connections part like integrations between them Trello comes into the family and works very well with HipChat, works very well a confluence it actually works quite well JIRA you've seen us in the quarter launch already integrations with. BitBucket, HipChat, Confluence and JIRA for Trello to allowed customers using parts, different purposes too to connect them in various different ways. I think you'll see you know obviously some of the products appeal more to the broader all teams markets role obviously the huge broad penetration, you can see that in the, in the base of $22 million uses around the world and the rapid growth that it's undergoing so, I think you'll see that. But drawing out products in but also we have a huge customer base within which Trello is I think relatively unknown so there's good opportunities in both directions. I don't think there will be sort of discrete sets of products as much as you describe it as much as they'll be sort of a web of connected applications but inside the Atlassian family and outside the Atlassian family I mean we intend to be you know a really good citizen in playing all of those to, put the customer needs puts right which whichever way they want to connect products together.
Bhavan Suri: Got it, got it. Fair enough and then obviously Trello's had pretty tremendous growth right so, 19 million users which is growing 50% now 22 million that are in a quarter. Is there's something on the marketing viral side because obviously JIRA with developers and you think about sort of your approach to developers as forms, well talk to each other and it drives this viral approach with some marketing but it's sort of viral, I used JIRA as great [indiscernible] JIRA it's great, and Trello obviously seems like it's doing really well but in a sort of fairly different market, how do you think about sort of bring those two communities together is it doesn't make sense in those communities together, is there any learning you guys have picked up from one from Trello that you could bring to sort of JIRA Confluence you know BitBucket, HipChat et cetera.
Scott Farquhar: Well, I mean I think the Trello team obviously did a fantastic job and we were super excited to have them on board. There's certainly learning's we can take from how they've grown Trello around the world internationally and lot of different markets and really, really tap on that end user growth in a lot of small, medium enterprises around you know different possible, different market segments. So that certainly a lot we can learn from them. We obviously have a fantastic go to market model and the marketing engine that we have our own strength it works very well so, I think bringing the two together that certainly lot of shared strengths we can get there but that you know the opportunity belying but you know both the existing Atlassian family and obviously the newest member in Trello is just massive so, we're very excited about that opportunity and $22 million against a billion knowledge workers on the planet we run you know with custom some [indiscernible] that we are excited at that.
Bhavan Suri: Yes. One last one quickly for me, for Murray obviously R& D and I would never tell you to stop R&D Obviously because technology companies live in R&D but at some point you have to get great scale out of that once we think of R&D starting to ramp down as a percentage of revenue I'm just given scale more than anything else or do you think at least for the foreseeable future it kind of stays where it is its potential revenue. Thanks for taking my question guys.
Murray Demo: Yes. Bhavan, yes, we're going to continue to invest in R&D It's a lifeblood of the company obviously as time passes we would expect to see some scale just because of the revenue growth as much as it really is on the expense side so, but for right now we're going to continue to invest we get a large market opportunity and there's just a lot more for us to do to capture that and we think, we've got a model that generates you know good profitability and tremendous cash flows and so we like that, we like the model, we like our opportunity we're going to continue to invest.
Bhavan Suri: Make sense. Thanks guys. Congrats again.
Scott Farquhar: Thank you.
Operator: Our next question comes from Michael Turits of Raymond James. Please go ahead.
Unidentified Analyst: Hey, guys. This is [indiscernible] on for Michael. Just a question around the Atlassian stack bundle What's been the impact on your products, do you feel like you have it priced properly and would you say it's rather more revenue? Thanks.
Scott Farquhar: Hey, Michael, yes, I mean it's basically you know with it's bundling of all products for customers that are, looking in a single instance to kind of standardize across the portfolio I would say, there's a small number of customers there and take everything you know we do think that you know there's a nominal discount it when you buy multiple products at once and again I think it's a relatively immaterial kind of impact as there's a small customer doing the choose everything all at once.
Unidentified Analyst: Okay, great. Thanks.
Operator: Our next question comes from Richard Davis of Canaccord. Please go ahead.
Richard Davis: Hey, thanks. Yes, it seems to me that if you guys are going to be get as big as I think you can now that you're going to have to be you know more than a gaggle of kind of one off to also so, how when you kind of said down, how do you think about communicating that differentiation you have over you know the well know the core point solution guys. How do you differentiate yourself there in terms of communications and then also kind of what are you doing on the programming front kind of make components of your platform kind of more connectivity and stuff like that if you what the last think about it as little bit kind of like what Microsoft did when they unified the Office suite you're trying to do at a different layer. Thanks.
Michael Cannon-Brookes: Hi, Richard, this is Michael. It's a great question. We know customer spending time on trying to make sure that our applications play better together. At the same time we always been wary of building a sort of a walled garden suite approach. I think the way the SAS world is working people will use lots and lots of different applications from lots of lots of different vendors so, we need to Play well with people outside the building much too I think it does question earlier that connection in and out of different products. We certainly invest a lot of making play together, you can see that in a various different fronts obviously the design language. That you've seen us implement over the last couple of years bringing the products together so, that's familiarity moving between and it's a big difference in the office while you had shortcuts that were designed for example you may you know how to operate excel you know how to operate point that sort of thing. And you've also seen it some it last year we previewed you know the new home experience for example bringing a lot of the applications together to give you sort of a centralized dashboard experience of moving across app, you see same sort of things on mobile so, you'll see if continue to harmonized the across the applications to allow better experiences which customers quite obviously look out, give us an advantage when they taking a second or third tool but in the sense I'm a very cognizant then they to, to play well with all of the other applications that they use outside of outside of us tax so we're always bouncing between us too.
Richard Davis: Perfect. Thank you so much.
Operator: Our next question comes from Rob Oliver of Baird. Please go ahead.
Rob Oliver: Hey, thank you guys. It's really a follow up to Richard Davis's question as you guys land with more products at the enterprise level can you talk a little bit about how you're leveraging the expert partner network can manage that expand, which I think addresses one of the concerns out there that you guys eventually going to need a sales force and things like tag and so how you're managing that, that partner network would be great. Thank you.
Jay Simons: Yes, hey Rob, this is Jay; short answer no differently than we've done for years, we've got a number of different land points we can land with you know virtually any product you know JIRA, Confluence, HipChat, BitBucket and then both expand with other products, expand with additional use cases as either weave through our marketing or our channel through kind of direct touch with the customer, expand the number of use cases, those products can be applied to and then we can also expand in the case of the server products through that data center upgrade path where as customers on-board 100s to 1000s to 10s of 1000s of users on a particular product or multiple products they seek to basically have a high availability solution because the products have become mission critical. And again the approach is no different than what we've done nearly since our inception. We've got a great network of partners in you know 100s of different countries that work with customers intimately in understanding kind of the expansion past what the products can apply to, we try to make that also friction free in the way that we market the products and expand kind of the use cases they can apply. And then the data center upgrade path is it's also relatively friction free path or they can understand when they're ready, move to it.
Rob Oliver: Great thanks.
Operator: Our next question comes from Sanjit Singh of Morgan Stanley. Please go ahead.
Sanjit Singh: Thanks for taking the question and congrats to the entire team for another strong quarter. I want to actually ask the question about the marketplace business, from two standpoints, the first from just a financial perspective, it's a low base but we see growth accelerating year-over-year and I just wanted to get a sense of can you talk through some of the things that are driving momentum in the marketplace business and then secondly from a more strategic standpoint about the openness of the Atlassian platform, do you see a situation where an Atlassian product or the Atlassian platform can provide a gateway to other comment applications, so that a user can essentially stay within the Atlassian environment but connect to common applications and just spend more time on the Atlassian platform. Is that part of the product strategy here longer term?
Murray Demo: Hi, Sanjit, look the marketplace is doing, we're very happy about how it's continuing to grow, obviously it plays a real important role for our customers in fulfilling a lot of other use cases in and around our products that let us you know further fill out, so when you see the marketplace growing, I think it's both a credit to all of the vendors in there that have really spending time in those customers and finding those use cases and building them on top of our applications but it's also a great example of the commerciality of the marketplace working really well, attraction to get vendors. So you see quite a lot of vendors now growing their software businesses significantly having a second product, the third product and that's just a really great virtuous cycle that we're in at the moment in terms of -- in terms of marketplace growth and you see that for anyone who's been to summit for the last couple of years, the size, professionalism and sophistication of the vendor community in the exhibit, in their marketing is just continuing to grow as they build out great products around the Atlassian family and it's a fantastic story for both. I will pass it over to Scott for the second question.
Scott Farquhar: The gateway to applications, when you think about HipChat, JIRA, Trello they are places like they will often start their day and where lot of work and movement will happen and but makes sense we have lot of integration between those products and other third parties and people use them as the launching pad. So people will have conversations and things impact HipChat and more than just having a link to those applications, that applications can actually build rich experiences within HipChat not need to leave for the casual use case and it's a starting point for the third parties. Now obviously we have a huge identity system that captures a lot of users and their teams inside organizations and that's something that we're increasingly leveraging with third parties to make it easier to log in to those third parties using Atlassian? I just want to add one thing Sanjit that I think is important people sometimes miss, you can think about both Confluence and Trello they often play a really important coordination role across lots of other enterprise applications that their customer may be using. So you'll often see Trello cards representing maybe work-outs in HRIS system or software code or CRM sells customer records and they used Trello to move across all those applications in a single board, right. So they have a single kind of interface to lots of different applications where each card then links through to further a deeper enterprise application is vertical and that's a really powerful place because we're across a lot of different applications in very flexible way of working, you can't do that inside an HRIS application or a CRM application. You need a sort of layer above both of them and Confluence has the same aspects in terms of creating a piece of content and then pulling in lots of different third-party SaaS application content, third-party smart family as well and then presenting a view or a document across that would link through but in both cases we become [indiscernible] that is our starting point. So I don't think that's an often given attribute that both of those are really powerful in doing that.
Sanjit Singh: That's great, that's great insight in context, just one follow-up at the Amazon, Cisco last week they announced CodeStar and I guess just a question here in the topic just to revisit for product engineering teams, for product development teams is there necessarily a strategic reason for your development platform or development suite to be next to the data strategically, does that make sense or is it just, it's something we're more long that we just want to be able to run it whatever level they feel most comfortable?
Scott Farquhar: On the data storage side of things for developers as we increasingly stay storing bits in the Cloud, it's more of a commodity in other markets, what the actual [indiscernible] is how people interact with team work that happens around that, so we wait big store on this is what is relevant and the TEAM aspect of this area that Atlassian has deep history of doing well at and so you could bet as we come in for the storage part but people look to us for how team work happens in development as we work close but we had built things around and those work flows may start in JIRA, they might even go to Code, they go to designs and they come back with actually a lot of different applications involved in development workflow but with JIRA that coordinate that work flow for a large number of our customers.
Sanjit Singh: Got it, thank you very much.
Operator: Our next question comes from Ben McFadden of Pacific Crest Securities. Please go ahead.
Scott Farquhar: Ben?
Operator: Pardon me, our next question actually comes from Nate Cunningham of Guggenheim. Please go ahead sir.
Nate Cunningham: Hi guys, thanks for taking my questions. For Murray, I'm curious about the Q4 on margin guidance, it seems to imply a pretty small increase in sales and marketing spending. Is that the right way to think about it and from a percentage of revenue perspective should we expect to see that continue to come down to the levels, we were seeing in 2013 and 2014?
Scott Farquhar: No, we haven't really provided specific guidance around each of the OpEx categories R&D, sales and marketing and G&A now in the fourth quarter which we're in now, we have our European Summit, our first summit in Europe in Atlas Camp so there's going to be marketing spend it's going to happen this quarter in and around this major event. So I wouldn't based on that I wouldn't think of it along that somehow that's going to we're going to see more leverage there, we are targeting approximately 14% in the fourth quarter we just did 15%, so it's another quarter of investment for us but in the area of sales and marketing in particular we've got a very exciting summit next week that we definitely are investing in to make sure it's a success.
Nate Cunningham: Okay, thank you.
Operator: Our next question comes from Ben McFadden of Pacific Crest Securities. Please go ahead, sir.
Ben McFadden: Hi guys, thanks for taking my questions. I wanted to start I know you're doing well with the data center offerings on the enterprise side, I just wanted to start with sort of the cloud offering and the fact that it caps out its 2000 users. I'm just curious as to what degree you're seeing customers sort of reach fairly close to that 2000 mark and to what degree do you plan on increasing the functionality on how many users can access the cloud option over time or is it more about proving the value proposition as far as upgrading to something like the Datacenter offerings.
Jay Simons: Hey, Ben. It's Jay. So you know the short answer is we see increasing demand for you know larger instances in the cloud will increase the capacity and we see that increasing today you know I think historically larger customers have selected to choose the server products for various reasons and you know as we've mentioned with the success of Datacenter there's an upgrade path where for really large mission critical usage, they have that as an option but back to I think what we've celebrated as a company is just customer choice and so whether you're a small company or a large company. We want to give you options you know that our preferable to you whether you want to run it behind us, behind a firewall in your own infrastructure whether you want to run it on our infrastructure in the cloud or even you know in a hybrid situation where you might want to private cloud on a AWS. And so, I think we're committed to all those options for companies of all shapes and sizes.
Ben McFadden: Great. And then, Murray, I just wanted I think a lot of the questions on earnings call this month the been around ASE, ASE 606 I know you're tied to AFRF 15 I believe I was just curious as far as whether anything change as far as how you think about your rev wreck going forward and how that could potentially be impacted by some of these new standards coming up.
Murray Demo: Yes, of course like in our company we were looking at that you know we don't have a plan right now to go change how we operate, our cloud business we're not going to see a change in our server plus maintenance business we don't see there's going to be a change it would just be in this Datacenter area where we might see some revenue move to being recognized upfront not totally on a subscription basis. At this point you know we're not looking to change how we operate. Obviously could change in the future but we're not in that position we're trying to retool our whole business so we can get some kind of revenue recognition treatment. We just don't see it impacting us that greatly and the model we have today we think works really well for customers so, it has to be more customer driven that is going to be sort of on the financial side.
Ben McFadden: Great thank you.
Operator: Our next question comes from John DiFucci of Jefferies. Please go ahead.
Unidentified Analyst: Hey, guy, thanks. [Indiscernible] for John here could you comment on the, I think JIRA Core was released early last year how you're seeing it progress versus the JIRA software product and then kind of in that same vein. How you're seeing adoption outside of the traditional software user but then customers.
Scott Farquhar: Got here we were pleased by the launch of JIRA Core it is going really strong outside about sort of core technical market and we said [indiscernible] last year, some of last year at half of well base at some JIRA Core which is in tremendous growth and we haven't disclosed individual stats around that. You beyond find that were kind fill early in the progress outside of technical teams on JIRA Core and Trello work hand in hand inside organizations for Trello more when you don't need a work flow around things and JIRA Core is when you do, what work for and what customizability and order trials and other things inside organizations. Those two continue to work really well together. And it's [indiscernible] is going.
Unidentified Analyst: Great, thanks. And then if I get one more on the competitive front you know you've got slackened teams out there making at least some noise publicly and I'm just wondering if you've seen any changes or expect anything to materially change in the way you approach go to market or even at customers you talk to?
Jay Simons: This is Jay. No, not really and we've been in the market for 15 years and so the competitive dynamics, haven't really changed much in that time some of the names have changed but at a high level just, it's a big market that we're continuing to grow into and I think one of our main advantages you know is the strength and kind of breadth of the team portfolio and we're building kind of multiple products and fulfill really critical needs for teams. And to better manage work create and share content communicate through real-time messaging and video and so even in a situation where we're losing head-to-head against one particular competitor in a category we still have an opportunity to sell around a competitor and we often do so, I think naturally it's, it's in any market it sort of one foot in front of the other but we feel good about a foot in.
Unidentified Analyst: Okay, yes that makes sense. Thanks a lot guys.
Operator: [Operator Instructions] Our next question comes from Keith Bachman of BMO capital markets. Please go ahead.
Unidentified Analyst: Hi, this is Michael [indiscernible] for Keith Bachman. I just have two questions one is continuing on the competition Microsoft recently acquired Intentional Software, their mission statement similar to you guys which is helping teens be more productive. I'm curious have you guys seen in the past and be see this trend moving forward look more Microsoft moving into similar products pieces that you're in.
Scott Farquhar: Here intentionally isn't something we've come up we have crossing the past ever from the little I know there's sort of more of a research house than, shooting software and though have interested to say what Microsoft dugs within but we haven't come across them in the past or say anything they do.
Unidentified Analyst: Okay, and then I guess, I feel on the last quarter I feel like you guys mentioned channel partners had some pretty good influence on some of the sales. I'm just curious are you seeing more channel partners influence versus I guess the viral marketing. Moving forward or in this recent quarter?
Scott Farquhar: Hey Michael not materially different I think they're both working hand in hand remember where we are [indiscernible] not business that's chasing the Fortune 500,000 you know the channel kind of compliments that really high volume automated focus with, by removing additional friction for customers where they need to specially in local markets where they don't speak English and you know I think they've had another positive impact on the, on the company in this quarter but not materially different than they've had in the past.
Unidentified Analyst: Okay, makes sense. Thanks guys.
Murray Demo: I would just add this is Murray, just, we have a higher receivables last quarter because we have over that budget flush and some of that does tend to come to the channel and this quarter receivables came down a little bit as it collected on that and kind of more normalized in terms of where we are in a kind of a seasonal basis not being wise in terms of where we are in a kind of a seasonal basis not being on a calendar year end.
Unidentified Analyst: Makes sense. Thanks guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Michael Cannon-Brookes for any closing remarks.
Michael Cannon-Brookes: Thanks everyone for joining the call today. We really appreciate your time and look forward to keeping you updated on the progress as we go forward. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.